Operator: Good day, everyone, and welcome to the Stabilis Solutions' First Quarter 2024 Earnings Conference Call. [Operator Instructions] Now it is my pleasure to turn the floor over to our host, Andy Puhala, Chief Financial Officer. Mr. Puhala, please go ahead. 
Andrew Puhala: Good morning, and welcome to Stabilis Solutions' First Quarter 2024 Results Conference Call. I'm Andy Puhala, Senior Vice President and CFO of Stabilis. And joining me today is our President and CEO, Westy Ballard. We issued a press release after the market closed yesterday detailing our first quarter operational and financial results. This release is publicly available in the Investor Relations section of our corporate website at stabillis-solutions.com. Before we begin, I'd like to remind everyone that today's conference call will contain forward-looking statements within the meaning of the Private Securities Reform Act of 1995 and other securities laws. These forward-looking statements are based on the company's expectations and beliefs as of today, May 8, 2024.  The forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. The company undertakes no obligation to provide updates or revisions to the forward-looking statements made in today's call. Additional information concerning factors that could cause those differences is contained in our filings with the SEC and in the press release announcing our results. Investors are cautioned not to place undue reliance on any forward-looking statements. Further, please note that we may refer to certain non-GAAP financial information on today's call. You can find reconciliations of the non-GAAP financial measures to the most comparable GAAP measures in our earnings press release. Today's call is being recorded and will be available for replay. With that, I'll hand the call over to Westy Ballard for his remarks. 
Westervelt Ballard: Thank you, Andy, and good morning to everyone joining us on the call. We delivered a strong first quarter performance, building on commercial momentum demonstrated in the latter half of 2023. Net income increased to 36% in the first quarter, supported by an 8% increase in LNG volumes sold when compared to the year ago period. We generated nearly $4 million in operating cash flow in the first quarter and ended the period with nearly $13 million in cash and availability under our credit agreements and a trailing 12-month net leverage ratio of 0.1x even after deploying significant capital toward discretionary growth investments over the past several quarters.  Over the past 24 months, we've transitioned our business model towards firm, longer-term customer relationships that support higher asset utilization over sustained periods, resulting in more predictable cash flows from operations. More recently, we've announced a transformational marine bunkering supply contract, extended an agreement with a major power generation customer and continued to expand our presence as a leading fuel supplier to the commercial space launch industry. To that end, our own liquefaction capacity is expected to be fully utilized through 2025, providing us with a high degree of visibility over the next 20 months. However, in addition to our own capacity, we maintain an extensive third-party LNG supply network, which allows us to meet ongoing incremental growth in customer demand while pursuing expansion of our internal liquefaction capacity. With our marine market, the first quarter 2024 was our first full quarter of LNG fueling operations and related services for Carnival Corporation, representing a milestone achievement for Stabilis. This win is also a significant development for the domestic marine fueling market, representing the first ever LNG bunkering operation in the port of Galveston, Texas.  Moving forward, we will continue to enhance our logistical capabilities as the only small-scale LNG bunker provider to the marine industry capable of executing multiple modes of delivery to our bunkering customers. The focus of our efforts will be on rapidly expanding our bunkering operations directly to the waterfront of strategic ports across the continental United States. These efforts will be supported by our robust inland LNG supply and logistics network, which remains a clear competitive advantage for Stabilis for several key reasons. First, combined with our extensive experience in designing, constructing and operating multiple liquefaction plants, it significantly derisks greenfield expansion activities. Second, it allows us to immediately execute new bunkering contracts as we can provide LNG bunkering fuel today anywhere in the U.S., utilizing our diverse third-party LNG supply network.  Third, it affords us the option to supplement waterfront LNG production on a temporary or permanent basis to support incremental demand. And finally, our operational flexibility provides our current and prospective customers, the ability to consider a wide variety of trade lanes throughout the U.S., knowing they will have a reliable LNG fuel supply with Stabilis. We remain in advanced discussions with several potential marine customers currently seeking LNG as a lower-cost, cleaner burning bunker fuel alternative for the growing inventory of LNG-fueled vessels. Given the importance of this initiative to our customers, our history of successfully executing LNG bunkering operations on three U.S. coasts gives these customers tremendous confidence in our ability to deliver an actionable, credible, best-in-class bunkering solution for their long-term needs.  Within our commercial and industrial markets, we continue to capitalize on a multiyear investment cycle in infrastructure and electrification as data centers, cloud computing, emerging technologies and emergency power needs give rise to increased demand for behind-the-meter power generation solutions. At the same time, our nation's aging electric grid lacks the reliability, capacity and resilience to effectively support this rapid growth in power consumption. As we move closer toward a world where the electrification of everything requires reliable access to both central and remote power sources, Stabilis is uniquely equipped to provide decentralized, on-demand power through our integrated system-based solutions. For example, several weeks ago, we announced a 14-month contract extension, which solidifies our position as a leading clean fuel solutions provider for behind-the-meter energy installations and further enhances our growing position in this space. For context, the power generation sector represent approximately 25% of our total revenue in 2023, and we expect this opportunity to accelerate as domestic energy demand continues to grow over the next decade.  Looking ahead, we intend to further optimize our existing asset base and supply chain, while prioritizing investments in incremental capacity, infrastructure and product offerings capable of supporting increased demand across our entire franchise, which includes our marine, power generation, aerospace and other diverse end-markets, both in the U.S. and abroad. To accomplish this, we are routinely evaluating a variety of prospective sources of capital, with heavy emphasis and focus on those partners that know our industry, know our company and recognize a significant upside potential in our operating model. Decisions to proceed with new infrastructure investments will balance longer-term ratable offtake agreements that derisk our investment over a multiyear period and our comfort in assuming merchant risk to assume timely and critical infrastructure is in place to sufficiently address the rapidly advancing needs of next-generation fuels like LNG.  In closing, while you've heard me discuss how Stabilis is uniquely positioned to capitalize on the significant asymmetrical growth opportunity we see within last mile clean fueling solutions across a diverse range of end-markets, it's also important to highlight how we, as our microcap equity provide an incredibly compelling value proposition for energy transition investors. Today, Stabilis is one of only a handful of profitable, well-capitalized, proven operators in the energy transition market as demonstrated by our actions over the last 24 months and more recently, as demonstrated by our strong first quarter results, which included a significant increase in available liquidity and a net leverage ratio around zero.  We're patient investors building a platform for growth that over the next decade will continue to become the last mile fueling solutions platform of choice for a growing roster of industry-leading high-performance brands. Like you, we are shareholders and we're committed to driving long-term value creation. We're glad you're on this journey with us and look forward to delivering on our next phase of profitable growth. And with that, I will turn it over to Andy. 
Andrew Puhala: Thank you, Westy. Let's move to a discussion of our first quarter performance, together with an update on our balance sheet and liquidity exiting Q1. We delivered record first quarter net income of $1.5 million or $0.08 per share, driven by strong LNG demand, improved utilization of our owned liquefaction facilities and improved operating leverage. Our first quarter 2024 results reflect 10% sequential revenue growth and continued improvement in both profitability and free cash flow. The sequential improvement in our overall quality of earnings is a result of the directed shift in our business model towards steady and predictable offtake agreements. We generated $3.9 million of cash from operations in the first quarter, representing a conversion of over 100% of our EBITDA for the quarter. This strong cash generation continued to build our already favorable cash and liquidity position, which we intend to leverage as we invest in growth going forward.  As of March 31, 2024, Stabilis had total cash and equivalents of $8.3 million, together with $4.3 million of availability under our credit facilities. Total debt outstanding as of March 31, 2024, was $9.2 million, resulting in a net debt to trailing 12-month adjusted EBITDA of 0.1x. As we continue to approach full capacity utilization, we're evaluating the deployment of internal capital towards high-return investment opportunities to grow capacity within our key end-markets, in addition to larger prospective capital infusions on more transformational growth opportunities. That concludes our prepared remarks. Operator, please open the line for the Q&A session. 
Operator: The floor is now open for questions. [Operator Instructions] We'll take our first question today from Martin Malloy at Johnson Rice. 
Martin Malloy: The first question, just could you maybe talk about the milestones we should look for that would result in giving FID for additional liquefaction capacity or a marine terminal or infrastructure that would assist in support the bunkering? 
Westervelt Ballard: Yes, sure. So as you know, we're operating and have historically operated on 3 coasts. And each one of those geographies present different variables that need to be considered as we think about FID and then the ultimate deployment of capital. I think without going through each one of those locations, I think holistically, it's important to recognize the balance, as I mentioned in our comments. We want to try and derisk these investments to the greatest extent possible, but also balancing that with not overly thinking about commercial offtake and missing that opportunity. And so I think that since we've got such a strong liquidity position, we will continue to advance a lot of pre-FID initiatives with the understanding of property, lease or purchase. As I mentioned, we've already acquired another 100,000 gallon train. We acquired that last year.  We're spending a lot of time with engineering and pre-deployment designs and configuration of different plants in different geographies. We are spending a lot of time and energy around building sufficient supply chain and infrastructure along several coasts. And so it's not one thing that you could point to. I think it's the narrative that we have about where we're spending our time and energy, not only on the pre-FID work that we're doing, but also on the commercial side and these announcements. We think we're going to be able to leverage that Carnival contract beautifully. It's safe to assume that we're in discussions with other would-be off takers. They think that we are a credible and interesting and safe operator. And so it's not one thing that's going to be a telltale sign for you, Marty, it's a variety of things on the capex side but also on the commercial side. 
Martin Malloy: For my next question, I just wanted to talk about providing gas for data centers or industrial manufacturers. We've heard a lot of stories from these companies that they're concerned about getting power in a timely manner and the quantities that they need and also about the reliability of the grid. Could you maybe talk a little bit more about what kind of solutions they're looking for and the role that Stabilis could play? 
Westervelt Ballard: Yes, they're in a tough spot. And as you know, and as we've mentioned, 25% of our business in 2023 was in and around kind of that power gen business. And as we mentioned in our remarks that we've extended one of those contracts. So we've got a lot of experience here. I think what it's going to take is really the aggregation of a wide variety of solutions as the vast majority of these cloud and data centers are eager to have as clean an alternative as possible. And we think that we can play a meaningful role on the front end as a lot of these data centers are being installed and trying to think through their supplemental and redundant and backup power needs. We think our solutions capabilities can bring not only that natural gas, but potentially aggregate other potential clean fuels as a packaged solution. And so we'll continue to be, I think, involved heavily on the front end and assisting them, but also providing fuels that we currently offer or that we will in the future offer as kind of packaged solutions to supplement their behind-the-meter needs. It's really not so much primary power concern, it's that peak or supplemental or backup power, that's of great concern to them. 
Operator: Our next question today will come from the line of Bill Dezellem at Tieton Capital. 
William Dezellem: So first of all, were both of the plants fully utilized in the first quarter? 
Westervelt Ballard: By and large, yes. We had high utilization rates on our George West plant, and we had some maintenance items that happened in March, but by and large, fairly highly utilized. 
William Dezellem: And the spirit of the question was trying to understand if using the first quarter as a run rate is a reasonable starting point to your comment in the press release that you're going to be fully utilized through 2025? 
Westervelt Ballard: Yes, I think that's probably a good proxy. One of the things that you got to remember though, is we had some seasonality in our financials in the first quarter. Those will manifest themselves again in Q4 -- and so it's -- the seasonality can make it a little bit tricky. But I think to your question about our own production capacity, it's not a false assumption for you to think that those -- both plants will be highly utilized. Obviously, our George West is a much larger plant than our Port Allen plant, but we think utilization should be high throughout the entire year as well as through next year. 
William Dezellem: And relative to that seasonal business in the Northeast, how much of the first quarter would be attributed to that? 
Andrew Puhala: The winter peaking revenue bill for the first quarter was about $0.75 million. 
William Dezellem: So not a large portion of the quarter. 
Andrew Puhala: This year, it wasn't that large, but it's revenue at pretty good margins because a lot of it is standby power. So it's a solid business for us. We see that in Q1 and to a lesser extent, Q4. 
William Dezellem: And then I want to circle back to the discussion about the data centers that you were having before. I would have thought, and I'm just expressing my ignorance here that most of these data centers would be in locations that they could tie in to natural gas pipeline and not need to use LNG. Am I completely off base with that? Or does it really depend on the plant? Would you kind of put some perspective around that, please? 
Westervelt Ballard: It's a mix of both. And so you've got a wide array of locations where these data centers are plugging into. And it's not so much that they're not part of the grid. It's not so much that they aren't involved in natural gas pipelines, certainly, where there is a large infrastructure of natural gas pipelines. It's when you get outside of the Texas kind of Gulf Coast corridor and you're in Virginia and you're in the Midwest, the availability isn't nearly as robust to have supplemental peak capabilities, not just [ similar ] to the Northeast in peak shaving times. And so as they come off, kind of, baseload and they start to migrate towards peak or supplemental power, there isn't enough for them to have. And so they've got to think of alternative solutions to supplement their contractual requirements for massive redundancy and massive uptime rates. It's a real problem. And we think we can be a real solution for them. 
William Dezellem: So Westy, to make sure that I'm clear on what you're saying. So if you have a plant in the Midwest that is based off of electricity, it gets hot in the summer, and so a great proportion of the time, the electricity and pulling off the grid is just fine. But in those periods where it's extraordinarily hot or conversely, super cold in the winter, and it starts to put pressure on the grid, at that point to maintain their high uptime they need backup and that's what you're talking about here? 
Westervelt Ballard: That's exactly right. That's exactly right. It's that peak. It's not baseload or primary power, that's a market that we're going to -- those utilities are going to do that. It's exactly right. The supplemental peak and non-baseload power demands they have is part A. Part B is just if you look at the general landscape of power demand, we think over the next 5 years, the U.S. is short 30 to 40 gigawatts. And that's because you're just going to have this proliferation of multidimensional hyperscale data centers that are coming online, and there just isn't enough grid power to even suffice that. So those baseloads won't be nearly -- those new data centers coming on, the baseload offtake won't be as high as the preexisting. So there's just -- we're just short power. 
William Dezellem: And then would you please provide more detail on the power generation customer that you extended the contract [indiscernible] with? 
Westervelt Ballard: I can't give you the name, but it's a customer along the Gulf Coast that we've had a relationship with for quite some time now. 
William Dezellem: Is this a storm repair situation where the utility is just not -- has not made the repairs as quickly as anticipated, so your customer has a longer contract, and therefore, you have a longer life on this also? 
Westervelt Ballard: Yes. 
William Dezellem: And then last question, is the marine bunkering. Would you please go into some more detail in discussing as much as you can about additional prospective marine bunkering customers and the process that they're going through to make their decision? 
Westervelt Ballard: Sure. So if you think about really the addressable market from our perspective, it's really, really ratable and large offtake. That's kind of the sweet spot for us. And so when you more specifically think about that, it's those large cruise ships. It's those large container ships, large car carriers, large voluminous buyers, but also it's those that are as sticky as possible. We like the cruise industry because there's ratability -- every 5, 6, 7 days, they're coming back to port and refueling because they're on and offloading. Their cargo carriers are pretty predictable in their ports of call as are the container guys. So those are really, really interesting offtakes because they're just so large and predictable. But every market is going to be a little different. The Gulf Coast is going to have a heavier influence of tankers. West Coast has got that big trade lane coming out of Asia. It's a big cargo port. That port of Long Beach, L.A., it's one of the, if not the largest, busiest, most heavily traffic port in the U.S.  East Coast has certainly got its own interesting demand needs. And I think as these vessels start to come online more and more throughout the latter part of this year and into next year, the real inflection point hits, and they -- these procurement teams are in desperate need of finding a U.S. domestic solution for liquefied natural gas. And we think that we've got the credibility and capability and know-how to do greenfield infrastructural construction, commissioning and operations of liquefied natural gas plants. And so we are in lots of discussions with a lot of prospective customers who recognize that and recognize our capability along that cruise, cargo, car carrier, large kind of offtake big, big ships. Does that help? 
William Dezellem: It does. And then I guess I'll take that one step further. Is -- are there -- what are the key factors that they are looking for? And what slows them down in their decision making? 
Westervelt Ballard: Well, I think the first 1 or 2 are obvious, it's availability. And then secondly, it's creating availability at scale. I think one of the interesting dynamics here is a lot of these procurement teams who have vessels traversing the planet, we're not as, I think, in tune with the lack of liquefied natural gas infrastructure to support bunkering operations in the U.S. And so I think they've had to really think differently about, a) trade lanes and where they're going to bring these ships in, to fuel their ships and b), their contractual obligations. Obviously, a lot of people would love to just have a gas station every corner and the optionality to refuel. That's just not the case in the U.S. And so we're very excited and bullish on the prospects of getting some ratability and some firmness to some of these contracts. It's not going to happen with all of them, but those discussions are ongoing. And as I mentioned earlier, we're going to balance that with some merchant risk based upon the title wave of demand that we see of ships that need fuel. And so that's really kind of the state of play right now. 
Operator: [Operator Instructions] Next question comes from Barry Haimes at Sage Asset Management. 
Barry Haimes: First question is the Carnival contract, which I think you said started in the first quarter, for the balance of the year, is it a similar run rate? Does it ramp? Could you just describe how the volumes might look across the year for them? 
Westervelt Ballard: Yes, I think it's pretty range-bound for the balance of the year and certainly through the next year. 
Barry Haimes: And then the extra 100,000 gallons of capacity, when does that equipment actually get delivered? To get a feel for the timing. 
Westervelt Ballard: Yes. So one of the unique attributes of that is its mobile and it's flexible and it's modular. And so we want to be thoughtful about doing that. So trying to pinpoint a time line is difficult. But I think our predisposition is to have that on the water front or at least have decisions made in the next quarter or so about where that's going to go in the waterfront in order to build out a first train for LNG capacity for bunkering operations, likely the Gulf Coast. And I think it's -- over the next few months, we'd like to have a firm appreciation of where that's going to go. And once that happens, I think we'll be -- we'll articulate that to you all. 
Barry Haimes: So just a follow-up on that because that was my part on next question. When you say likely Gulf Coast, when you talked about the applications, cruise ships, I always think Miami and to your point, the container ships, L.A. Long Beach is the biggest import spot for them. So why -- since you're in the Gulf Coast, why wouldn't you more likely look to one of the other coasts, if you will, that you've been looking at? 
Westervelt Ballard: No, no, we are. We're looking at a variety of coasts. It's just, I think, a couple of dynamics in the Gulf Coast that I think are really important, first of which is our backyard. Secondly, we think we can successfully leverage that contract that we have now in Galveston. It's a suboptimal supply chain because we're taking LNG from an inland supply source hours and trucking it to the water and then bunkering their vessel and moving that to the water is a much more scalable, efficient operation. Thirdly, we think that there's really some pent-up demand, not only in incremental cruise ships coming into the Galveston market, but also the container and car carriers are also coming into this market as well. So we think it's an elegant location for us to strongly consider deploying that first train, recognizing there should and will be follow-on trains thereafter. But it doesn't mean that we don't reserve the right to put it inland. If all of a sudden, an aerospace customer comes with highly attractive needs or if data center needs are highly attractive as well that drive real earnings and high returns on capital. And so that's one of the benefits and attributes as I mentioned, about having small-scale modular capacity that we've already purchased. Lead times are long. So we've got a unique advantage here. But I mean, I think to repeat myself, our first inclination is to leverage our success in Galveston and expand that capability because there's a tidal wave of demand in the Gulf Coast, West Coast and East Coast. 
Barry Haimes: My final question is maybe just an update on space. I know it's lumpy, but could you describe how that went in the first quarter and what your outlook is for the year compared to last year? 
Westervelt Ballard: Yes. I'll just say, qualitatively, space is a really good business of ours. And it's a great margin business for us, and we're very excited and honored to be kind of the size participant we are in that market. And that market is growing. Quantitatively, Andy, do you want to shed some light on that? 
Andrew Puhala: It's about 6% of our revenue in the first quarter. And as we've talked about in some of our releases, we expect that to continue to grow and become a more significant part of our business. 
Operator: Back to Mr. Ballard for his closing remarks. 
Westervelt Ballard: Thanks, everybody, for joining us, and we look forward to seeing you on the road in short order. 
Operator: This does conclude today's teleconference, and we thank you all for your participation. You may now disconnect your lines.